Operator: Good day, ladies and gentlemen, thank you for standing by. Welcome to the Super Micro Computer Incorporated Fourth Quarter and Full Fiscal 2009 Conference Call. The company’s news release issued earlier today is available from its website at www.supermicro.com. In addition, during today’s call, the company will refer to a slide presentation that it has made available to participants, which can be accessed in a downloadable PDF format on its website at www.supermicro.com in the Investor Relations section under the Events and Presentations tab. During the company’s presentation all participants will be in a listen-only mode. Afterwards, securities analysts and institutional portfolio managers will be invited to participate in a question-and-answer session, but the entire call is open to all participants on a listen-only basis. As a reminder, this call is being recorded Wednesday, August 5th, 2009. A replay of the call will be accessible until midnight, August 19 by dialing 1-888-203-1112 and entering conference ID number of 8479500. International callers should dial 1-719-457-0820. With us today are Charles Liang, Chairman and Chief Executive Officer; Howard Hideshima, Chief Financial Officer; and Perry Hayes, Senior Vice President, Investor Relations. And now I would like to turn the conference over to Mr. Hayes. Mr. Hayes, please go ahead.
Perry Hayes: Good afternoon and thank you for attending Super Micro’s conference call on financial results for the fourth quarter fiscal year 2009, which ended June 30, 2009. By now, you should have received a copy of today’s news release that was distributed at the close of regular trading. A copy of it maybe accessed on the company’s website. As a reminder, during today’s call, the company will refer to a presentation that is available to participants in the Investor Relations section of the company’s website under the Events and Presentations tab. Please turn to slide two. Before we begin, please note that during the course of this conference call, management will be making forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 and Section 21E of the Securities and Exchange Act of 1934. Such forward-looking statements do not constitute guarantees of future performance and are subject to a variety of risks and uncertainties that could cause our actual results to differ materially from those anticipated. These include but are not limited to our dependence on continued growth in the markets for X86 blade servers, blade servers and embedded applications, increased competition, difficulties of predicting timing of new product introductions, customer acceptance of new products, difficulties in establishing and maintaining successful relationships with our distributors and vendors, shortages or price fluctuations in our supply chain, our ability to protect our intellectual property rights, our ability to control the rate of expansion domestically and internationally, difficulty managing rapid growth and general political, economic and market conditions and events. Most of today’s presentation will refer to non-GAAP financial results and outlook. For an explanation of our non-GAAP financial measures, please refer to slide 3 of this presentation or to our press release published earlier today. I will now turn the call over to Charles Liang, Chairman and Chief Executive Officer.
Charles Liang: Thank you, Perry, and good afternoon, everyone. Please turn to slide four. First, let me provide you with the highlights of the fourth quarter. We are pleased that our fourth quarter results rebounded nicely from the previous quarter with an increase in revenue of 12.7%. The results indicated that we outpaced the industry during the economical slow recovery and that we're gaining market share. This attributes to our strong engineering foundation and continued aggressive investment in R&D during the downturn. We are well positioned for future growth. Super Micro's revenue in the first quarter was 123.5 million or 17.1% lower than last year. Non-GAAP net income was 3.8 million or 53.2% lower compared to last year. Super Micro's non-GAAP earnings per share was $0.10 per diluted share compared to $0.06 in the last quarter or $0.21 last year. Slide five please. Now, I would like to share with you our achievements during the past fiscal year and especially last quarter. Fiscal 2009 was a challenging year due to the global economic downturn that impacted IT spending worldwide. Still Super Micro managed strong investment in its product mix and launched some major new product innovation. These new developments along with our fit in this model that focused on truly application optimized server solutions allowed us to gain market share during this difficult time. Last year we had developed our strongest product line areas and had been well producing for our technology transition to new generation products based on the new Intel Nehalem and AMD six core processes technologies, especially most of those products (inaudible) production ram up during last quarter. As a result, Super Micro finished this year with a rebound in the first quarter sales that was 0.7% higher than our other quarters this year. And we expect this pressure will continue for quite a while. More importantly throughout this very difficult year, Super Micro gained much share. The difficult economic met our product's performance (inaudible) and proved to be more attractive to our existing as well as new customers. In this economical situation, the value proposition of our (inaudible) significantly lowered our total cost of ownership and opened up new and great opportunities for Super Micro. Our customer base is growing and we are bidding and winning in more new vertical markets than before. As we cross fiscal 2009, we are also very pleased to report that where we invest in R&D operations during this difficult economical period. Super Micro continuous its 16 year trend of profitable results because of its focus on faster to market, efficient operation and containing costs. During this past year, after the economical downturn, start IT spending, many IT vendors decided to cut R&D and other costs as well as lay off workers. Super Micro on the other hand made an important decision to continue to invest and focus on R&D in order to enhance our product lines and to better position the company for future growth. It was our belief that the leaders of tomorrow will be those who keep on advancing their technology by investing in innovation and product development for the future. Super Micro's strong foundation is based on its advanced server technology and solid engineering work. Over the years, we have become a leader in our industry. For example, we had the foresight to introduce the power efficient green server and storage technology, the UIO servers, the twin system architecture, and most recently the networking dual and quad GPU system architecture – I mean GPU represents graphical processing units. Most of the time, our competitors need a few miles or years to follow and matching our products available in the market. Please turn to slide six. In fiscal 2009, our investment in R&D have furthered our technology advantages. The new 2U Twin2 server architecture features full DP computing nodes with 93% high-efficiency Gold Level power supply designed in a 2U form factor. This breakthrough product line has averaged the heights of performance per watt at over 375 gigaflops per KW, which yields up to 25% net power savings over the industry regular 1U servers. Even more impressive, the 4 DP nodes are (inaudible) and cable 3 for ease of maintenance and optimized cooling system. Most recently, we had launched a family of GPU optimized system again, graphical processing unit, designed to meet the requirements of high-performance computing demand. The new architecture feature multiple by 16 (inaudible) PCI Express Gen 2 connectivity to each GPU (inaudible) optimize cooling and Gold Level power efficiency as well as system structural enhancement. The system was truly the fastest server in today's industry with multiple teraflops of performance in the 1U or 4U chassis. In a recent announcement, one of our customers used this solution and made in the June 2009 top 500, a list of most powerful supercomputer in the world. The solution is also the most energy efficient concept in the commodity system space on a (inaudible). During the quarter, our engineering team introduced the (inaudible) server product line in the industry, starting with the launch of Nehalem processors. When Nehalem was launched on March 31 of this year, we showcased our first to market (inaudible) product line in the industry with roughly with about 80 SKU of server board, more than 30 chassis models, and have more than 30 super servers at launch. We continue to develop and broaden Nehalem product line since it is a strong growth driving force for Super Micro. Also during the quarter, we had focused and launched a series of a SM Bus embedded products and a set of high density SAS storage platforms. There SM solution optimized for value server appliances or embedded industrial PC applications. With their extremely low power requirements and nearly silent noise level, the high density storage SAS solution will save customers up to tens of thousands of dollars per rack in electricity costs during their (inaudible) by utilizing Super Micro's green technology and (inaudible). (inaudible) Super Micro delivers 93% Gold Level power supply with PM Bus standalone, most of our new super server high-end systems including its latest SuperBlade server. Super Micro also provides flexible system customization with its universal IO, UIO interface, that allow customer to choose from a host of IO cards, including soft tools, 10 giga (inaudible). For the most value and best remote moment management, Super Micro offers IPMI 2.0 (inaudible) support most of our new platforms as well as (inaudible) and high-performance through the (inaudible) or more options. As we look ahead to the new fiscal year, we will continue to thoroughly utilize our (inaudible) model advantage of strong engineering and technology leadership, strong customer partnership and strong vertical market focus to continue winning much share for Super Micro. With that in mind let me share with you some of our new product offerings that we will launch in the next few quarters. Please turn to slide seven. Super Micro Twin Blade based on our twin architecture, we doubled the density of our SuperBlade in a 7U space, we are now able to provide 28 DP nodes or 56 CPU sockets support with Infiniband or 10G connectivity option. This high density and high (inaudible) solution will be more suitable for today's HPC data center applications. Second, our new generation 4 way MP system, one of the new generation four way system, where we based on Intel Boxboro chipset and the new Nehalem EXMP [ph] GPU with two PI link which provide a much higher memory and IO bandwidth than the previous generation four way system. And then our networking products, we have been quite successful in developing switch for our brand and adapted for our servers. We see increasing demand from our customers for standalone switch. We have introduced two models of gigabit switch and are continuing to develop more products like the Infiniband (inaudible) and 10 G (inaudible) and those products where we have (inaudible). And also our Super SPP, storage (inaudible) using our twin design concept, we are developing (inaudible) of standby SPP solutions, which can incorporate or bridge SATA and SAS or fiber channel storage solutions. With that, let me hand it over to our CFO, Howard Hideshima, for our financial details. Howard?
Howard Hideshima: Thank you, Charles, and good afternoon, everyone. I will focus my remarks on earnings, gross margins, operating expenses and similar items on a non-GAAP basis, which reflect the adjustments to exclude stock compensation. Reconciliation of GAAP to non-GAAP is included in the financial statements of the company's in today's earnings release and in the supplemental detail in the slide presentation accompanying this conference call. Let me begin with a review of the fourth quarter income statement, please turn to slide eight. Revenue was 123.5 million, down 17.1% from the same quarter a year ago and up 12.7% sequentially. Revenue for the fiscal year was down 6.5% for the same 12 month period a year ago. The decrease in revenue from last year was fairly widespread among our customer base, which we believe was primarily attributable to the global economic downturn. The sequential increase in revenue from last quarter was primarily due to the continuation of the improvement we have seen in the economy, which started in March of this year. The ramping of new products such as our Nehalem based solutions and an increase in the component sales such as CPU hard disk drives and memory. Slide nine. Turning to product mix, the proportion of revenue from server systems was 37% of total revenue which was a decrease from 39% a year ago and (inaudible) ASPs for servers was $1400 per unit which is up from about $1300 per unit last year and $1100 per unit last quarter. The increase in server products was primarily due to an increase in shipments of Series 6000 servers. We continue to maintain a diverse revenue base with none of our over 450 customers making up more than 10% of our net sales in the fourth quarter. Furthermore, 65.6% of our revenue came from the US and 65.3% from our distributors and retailers. Internet data center revenue was 5.8%, which was a decrease from the prior quarter of 12.1%. Slide 10 and 11. Non-GAAP gross profit was 20.6 million, down 27.9% from 28.6 million in the same quarter last year and up 25.1% from 16.5 million sequentially. On a percentage basis, gross margin was 16.7% down from 19.2% a year ago and up from 15% sequentially. Price changes (inaudible) resulted in a positive two basis points change to gross profit in the quarter with total purchases representing approximately 19% of total cost of good sold compared to 18.6% a year ago and 18.1% sequentially. The year-over-year decrease in gross margin results from lower margin, the cost of product line due to competitive pressures as we grew market share during the economic downturn combined with a mature product line that was transitioning to the new Intel Nehalem CPU, which was launched on March 30. The sequential increase in gross margin primarily resulted from higher margin as we ramped up sales of Nehalem based solutions. Slide 12. Operating expenses were 15.2 million down from 16.7 million in the same quarter a year ago and an increase from 14.6 million sequentially. As a percentage of revenue, operating expenses was 12.3%, up from 11.2% year-over-year and down from 13.4% sequentially. Operating expenses was lower on an absolute dollar basis year-over-year and higher sequentially. We saw year-over-year decreases in absolute dollars spending in sales and marketing due primarily to the 819,000 of lower co-op marketing funds due to lower revenue levels. Sequentially, we saw an increase, primarily in G&A expense due to an increase of 216,000 in accounting and tax fees associated with our year-end audit and SOX compliance, which is expensed as incurred. Headcount increased by four sequentially to 865 total employees. Overall we maintained good control of our operating expenses while at the same time maximizing our opportunities for investing in our future. Operating profit was 5.4 million or 4.4% of revenue down 6.5 million or 54.6% from 11.9 million a year ago and up 3.6 million or 192.6% sequentially. Net income was 3.8 million or 3.1% of revenue down 4.3 million or 53.2% from 8.1 million a year ago and up 1.3 million or 54.7% from 2.4 million sequentially. Our non-GAAP fully diluted EPS was $0.10 per share, down $0.11 from $0.21 per share a year ago and up $0.04 per share from $0.06 per share sequentially. The number of fully diluted shares used in the fourth quarter was 39,467,254. The increase in diluted shares was primarily due to the impact of options, which were repeatedly (inaudible). The tax rate in the fourth quarter on a non-GAAP basis was 28% compared to 32.1% a year ago and negative 44.3% sequentially. The tax rate was primarily affected by the reinstatement of the Federal Reserve research and development tax credit and adjustment to reduce the higher levels of tax reserves than is currently warranted. We expect the effective tax rate, on a non-GAAP basis to be approximately 32% for the September quarter. Turning to the balance sheet on a sequential basis, slide 15, cash and cash equivalents and short and long-term investments were 85 million, up 7.6 million from 77.4 million in the prior quarter. In the fourth quarter, free cash flow was positive 7.6 million, and a net change in cash was 7.6 million. For the 12 month period, free cash flow was a positive 18.2 million and the net change in cash was a positive 18.8 million. Subsequent to June 30, on March 24 and August 4, the company paid off 10 million of the mortgage loans, which will eliminate the interest expense for the remainder of the year from these loans and leave the company with no debt. The company has reported approximately 257,000 in G&A expenses during the present quarter for pre-payment and write off of the loan fees. Slide 14. Accounts receivable increased by 2.9 million to 45.7 million and the DSO was 33 days, a decrease of two days from the prior quarter. Inventories increased by 7.1 million to 90 million with the days in inventory decreasing by 8 days to 77 days. The company manages inventories well that we supported new products such as Nehalem and (inaudible) based solutions as well as GPU and 2U Twin2 servers. Accounts payable increased by 13 million to 73.5 million with the days payable outstanding increasing by two days to 60 days. Overall cash conversion cycle days were 50 days, a decrease of eight days from 58 days in the prior quarter. Now, for a few comments on our outlook. As indicated previously, during the fourth quarter, we saw continuing improvements in the economy and the ramping of sales of our strong new products, innovations based on the latest technology introductions. Therefore, the company currently expects net sales for the quarter ending September 30, 2009 in the range of 128 million to 138 million. Assuming this revenue range, the company expects non-GAAP earnings per diluted share of approximately $0.11 to $0.40 for the quarter. This is currently expected to be the outlook and will not be updated until the release of the company's next quarterly earnings announcement. Notwithstanding subsequent developments however, the company may update the outlook or any portion thereof at any time. With that, let me turn back to Charles.
Charles Liang: Thank you, Howard. In summary, with our strong Nehalem product line continued in (inaudible) and with our most innovative 2U Twin2 and GPU solution starting their (inaudible) as well as with our other upcoming product launches, we're confident that new year will fully demonstrate our technology leadership and will contribute a strong growth to our shareholders. Now let me turn the call back to Perry.
Perry Hayes: Operator, at this time, we are ready for questions.
Operator: (Operator instructions) And we will go first to Doug Reid with Thomas Weisel Partners.
Doug Reid – Thomas Weisel Partners: Thanks. Congratulations on a nice quarter. I just wanted to get a sense on gross margin within components, so I know that you don't break out exclusively gross margin therein, but could you give some color behind just gross margin trends then for those two areas?
Charles Liang: Yes. Basically with new product launch like Nehalem and like our 2U Twin2 with GPU you know new product always provide us better margin. And Howard, (inaudible).
Howard Hideshima: Yes, Doug. As we talked about before between servers and components sales, there can be as much as a 5% to 10% differential depending upon the application you know as far as what types of offering we are putting together and how complex that box may be. But all product lines basically were very strong for us and gross margin increased.
Doug Reid – Thomas Weisel Partners: Okay, great. And then just quickly on the data center sales, kind of fairly steep drop-off but wondering if you could provide some visibility into what you're seeing now and your expectations of the September quarter from that segment?
Howard Hideshima: Yes, Doug. This is Howard again. You know like I said, we have always said it is kind of project by project based, so you will see fluctuations in that. I think previously (inaudible) you will see 7%, it was 12% prior quarter and about 6%, 5.8% this quarter. So you will see project by project basis and we believe we have great technology and that will be appealing.
Doug Reid – Thomas Weisel Partners: Okay, great. Thanks.
Operator: (Operator instructions) And we will go next to Glenn Hanus with Needham & Company.
Glenn Hanus – Needham & Company: Good afternoon guys and congrats on your quarter. Maybe if we settle back to gross margins for the second, could you talk a little more about the puts and takes driving gross margin and the trend going forward here, what was the extent of price – competitive price pressures in the quarter and you know that was probably offsetting gains you were seeing from new products. So could you talk more thoroughly about the puts and takes on gross margin this quarter and what we should think about it in our models going forward?
Charles Liang: Basically our business has been very consistent and very stable. However, as you know, since many years ago – I mean whenever we add new product, new innovation, we have a better quarter, a couple of quarter continue basically, and this time Nehalem which we announced by the end of March, so indeed Nehalem product line (inaudible) quickly ramping up (inaudible) I think including September quarter, especially 2U Twin2 which provided a lot of new features and that will generate best ASP and better as well. And GPU, GPU is a brand new architecture. We just create and introduced to the market in preparation of our (inaudible) so that product line is ramping up quickly. And again for a new product, pretty much no strong competitor in the market today, so we would see better margin from those product line in the next – in at least the next few months or few quarters.
Glenn Hanus – Needham & Company: You want to add to that, Howard, or to what extent is Nehalem – you're probably not going to give me an exact number, how much of your product does Nehalem represent, it just started, is kind of in the early innings or has it –we are expecting it to be most of your volume based within a few quarters. Can you talk about how quickly that has ramped because I assumed that is impacting the gross margin trend?
Howard Hideshima: It is Glenn. Great question. Again that is the way to characterize it, we are in early innings, we just launched on March 30 right, so we're just started to ramping up on those things. I think it is a positive (inaudible) some ASP effect, we have seen the increase in our ASPs going from about 1100 last quarter in the third quarter to about 1400 in this current fourth quarter that we just finished, so it is contributing there, but it is just ramping.
Glenn Hanus – Needham & Company: And how about the competitive pricing pressures, how would you characterize that, about the same as last quarter, more severe, less severe, how is that?
Charles Liang: We see slightly improving (inaudible).
Glenn Hanus – Needham & Company: Okay, thank you.
Operator: (Operator instructions) We'll go next to Alex Kurtz with Merriman Curhan Ford.
Alex Kurtz – Merriman Curhan Ford: Just to follow-up on Glen's question there, so you are seeing an easing in price pressure? Or an increase in pricing pressure?
Howard Hideshima: Hi, Alex, this is Howard.
Alex Kurtz – Merriman Curhan Ford: Hi, Howard.
Howard Hideshima: I think generally Alex we are feeling pretty good about the economy as far as the start of and March started getting stronger for us, so I guess it is a mixed bag. If you call pricing pressure, the economy recovering, we are feeling better with that momentum starting to build in the March period, continuing to do that fourth quarter.
Alex Kurtz – Merriman Curhan Ford: Just to clarify, so are Dell and HP applying more pressure than they have in the past because they are – well, first of all, congratulations on the quarter, but as a follow-up to Glenn's question, so are you seeing pricing pressure or not?
Charles Liang: Basically you know I mean we have a product architecture BDM [ph] advantage so especially 2U Twin2 and we provide even hot pluggable capability (inaudible). So we should have a better kind of competition position in the coming quarters.
Alex Kurtz – Merriman Curhan Ford: Okay. And Howard, you know can you just give us the unit counts on the servers and the components?
Howard Hideshima: Yes. Alex, let me get back to you, just a second with that.
Alex Kurtz – Merriman Curhan Ford: All right.
Howard Hideshima: Okay.
Alex Kurtz – Merriman Curhan Ford: And as you pull that up, you know I know that Nehalem is providing a lot of momentum going into the September quarter but I'm just going to ask you now as you look at the midpoint of your guidance, obviously it is up sequentially Q1 is typically a down sequential quarter for you guys so can you give us the rational and sort of thinking about giving an up quarter guide, still on a pretty choppy tape, and so what gives that conference in your pipeline to do that?
Charles Liang: Yes, I mean in history basically September quarter usually (inaudible) compared with June. But this year we are very active, we see a different signal. So again primarily because of new products, especially (inaudible) Nehalem is another big contributing force.
Howard Hideshima: And dovetailing back to your question, server units were 33,000.
Alex Kurtz – Merriman Curhan Ford: Okay. Tell me about components?
Howard Hideshima: More than 523.
Alex Kurtz – Merriman Curhan Ford: 523. So, Howard, do you want to add to that, any comments about the pipeline and sort of what you're seeing from your managers out in the channel and sort of the sense about demand for Nehalem going into September?
Howard Hideshima: I think it is characterized by the economy itself or maybe just a feeling that everything is getting a little bit, at least in our business over here, and I feel better about as we enter the quarter.
Alex Kurtz – Merriman Curhan Ford: Okay. And last question for this round, Howard, you hit 9% on non-GAAP operating margin back in September of last year. That was at obviously at a higher run rate, but you know can we extrapolate that maybe by the end of fiscal 2010, maybe we can get back to those levels if sort of the demand picture sort of remains intact if not improved from what you're seeing right now?
Howard Hideshima: Well, Alex, I guess the best way to put it is that we are still just giving the quarterly forecast, we still see strength. You know we have seen our guidance go up to you know 128 to 138 for this quarter, which is an improvement in our trends, and so we are hopeful. We're continuing to watch our expenses and implement programs to make sure we keep an eye on that operating expense and then we will keep driving with the new products that Charles mentioned, keep driving our revenue and hopefully our gross margin.
Alex Kurtz – Merriman Curhan Ford: Okay, thanks a lot guys, and congratulations on a really good quarter, guys.
Howard Hideshima: Thank you.
Operator: We will go next to Nihal Satchi [ph] with Technology Insights Research [ph].
Nihal Satchi – Technology Insights Research: Hi guys. Good job on a nice quarter there. Could you talk a little bit about why component – what caused components to be up about 20% Q to Q compared to systems up 5% Q to Q and then following up with where you see those two segment performing for the next quarter?
Howard Hideshima: Hi Nihal, how are you doing? With regard to components, I think it is more driven by our customers again. They are utilizing our new solutions, our latest technologies, and they're asking us to provide a little bit more of the full solutions in there, although we may not be putting it together in our own box, we are shipping it to them, components that basically fall back to work with our solutions, so that is where the trend is I think as an overall.
Nihal Satchi – Technology Insights Research: Okay. So going along that lines, it sounds like that will continue to be the case, yet you saw 170 basis points of GM improvement so on the lower margin product line, so it seems like the new products are doing very well in terms of price, would that be an appropriate way of characterizing that?
Howard Hideshima: Absolutely, Nihal. I mean I think the ASP increments that you saw there about 1400 – from 1100 to 1400 is indicative of that.
Nihal Satchi – Technology Insights Research: Okay. And could you just say, we think the customer components, was there any particular segment for the component customers that were especially strong or geographies that are especially strong that you could talk about?
Charles Liang: Basically we see a very – even the (inaudible) business and most of the categories are better than the other, but because we have a broad product base, so relatively (inaudible).
Nihal Satchi – Technology Insights Research: And then last question, so do you have any thoughts on what your addressable market grew on a sequential basis, any guidance you can provide would be helpful?
Howard Hideshima: Yes, Nihal. We – I think the addressable market is actually increasing for us. I mean Charles mentioned a little bit about the embedded markets, that presents great opportunities for us into the future, right? That is above and beyond the x86 market for us and we're making great traction there. And then the other markets that we service, especially with the new products that we are launching like the GPU and other things are opening up other market verticals for us like oil and gas or film or industry and those types of markets are opening up to us.
Nihal Satchi – Technology Insights Research: Okay, thanks guys.
Operator: And we will now take a follow-up from Glenn Hanus with Needham & Company.
Glenn Hanus – Needham & Company: Did I understand you to say that globally there were no particular strengths or weaknesses from a territory standpoint, globally was fairly balanced in your view or how – maybe if you could just talk kind of about your international business by region versus domestic in terms of the kind of the demand trends you are seeing?
Charles Liang: Nihal (inaudible) we see Europe, Europe (inaudible) weakest, and Asia is a little bit surprising, Asia is strong, right, maybe because of China right, so other than that (inaudible).
Howard Hideshima: Yes, it has been pretty even, Glenn. I mean like you say, you will see a little bit of increase in our US geographies, I said about 64% of our revenue came out of the US as compared to about 60% last quarter.
Glenn Hanus – Needham & Company: Okay. How about operating expenses, Howard, you had a little blip up there in G&A on the – I forgot exactly what it was, but…
Howard Hideshima: The audit and tax fee?
Glenn Hanus – Needham & Company: Yes, right, the audit, so OpEx in September, will that be flat to slightly down?
Howard Hideshima: Well (inaudible) where let us say the audit and tax and software, so that basically will – we don't incur as much in the present quarter because we are doing our year end stuff then in the fourth quarter. However I want to make note that again we do have about 256,000 of loan fees and those things that will be – are recorded in the G&A line. It is an offset basically there.
Glenn Hanus – Needham & Company: Okay.
Howard Hideshima: Okay.
Glenn Hanus – Needham & Company: Okay, thank you.
Operator: And it appears at this time that we have no further questions. So, I would like to turn the call back over to Mr. Liang for any additional or closing remarks.
Charles Liang: Okay, thank you for joining us today and we look forward to talking to you again at the end of each quarter. Thank you everyone, have a great day.
Howard Hideshima: Thank you.
Operator: Thank you, ladies and gentlemen, that does conclude the Super Micro Inc. fourth quarter and fiscal year 2009 conference call. We do appreciate your participation. You may disconnect at this time. Thank you.